Operator: Good day, everyone and welcome to the Bruker Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Please also note today’s event is being recorded. At this time, I would like to turn the conference call over to Miroslava Minkova, Senior Director of Investor Relations and Corporate Development. Ma’am, please go ahead.
Miroslava Minkova: Thank you, Jamie. Good afternoon. I would like to welcome everyone to Bruker’s second quarter 2021 earnings conference call. My name is Miroslava Minkova, Senior Director of Investor Relations and Corporate Development at Bruker Corporation. Joining me on today’s call are Frank Laukien, our President and CEO and Gerald Herman, our Executive Vice President and Chief Financial Officer. In addition to the earnings release we issued earlier today, during today’s conference call, we will be referencing a slide presentation. The PDF of this presentation can be downloaded from the Latest Results section on Bruker’s Investor Relations website. During today’s call, we will be highlighting non-GAAP financial information. Reconciliations of our non-GAAP to GAAP financial measures are included in our earnings release and are posted on our website at ir.bruker.com. Before we begin, I would like to reference Bruker’s Safe Harbor statement, which we show on Slide 2. During the course of this conference call, we will make forward-looking statements regarding future events and the financial and operational performance of the company that involve risks and uncertainties, including those related to the ongoing COVID-19 pandemic, the spread of the Delta variant as well as ongoing worldwide semiconductor chip and other supply shortages. The company’s actual results may differ materially from such statements. Factors that might cause such differences include, but are not limited to, those discussed in today’s earnings release and in our Form 10-K as updated by our other SEC filings, which are available on our website and on the SEC’s website. Also note that the following information is related to current business conditions and to our outlook as of today, August 2, 2021. We do not intend to update our forward-looking statements based on new information, future events or for other reasons prior to the release of our third quarter 2021 financial results expected in early November 2021. Therefore, you should not rely on these forward-looking statements as representing our views or outlook as of any date subsequent to today. We will begin today’s call with Frank providing a summary. Gerald will then cover the financials for the second quarter in more detail. Now, I would like to turn the call over to Bruker’s CEO, Frank Laukien.
Frank Laukien: Thank you, Miroslava and good afternoon everyone. Thank you for joining us on today’s earnings call. Bruker again demonstrated excellent progress in the second quarter following our strong start in the first quarter of 2021. During the second quarter, Bruker’s revenues, margins and earnings grew significantly year-over-year, with robust demand for our high-performance scientific instruments, life science and diagnostic solutions amidst a solid end market recovery. Our teams executed well across our core business and Project Accelerate and Bruker is now very well positioned for excellent progress in 2021. Our second quarter 2021 revenues grew 34.4% to approximately $571 million. On an organic basis, Bruker’s revenues increased 27.2% year-over-year, which includes 27.8% organic growth in the Bruker Scientific Instruments groups and 21.8% growth – organic growth at best. Our Q2 ‘21 non-GAAP gross margins expanded 490 basis points year-over-year to 50%, while our non-GAAP operating margin reached 17.3%, up from 11.5% in the second quarter of 2020 which was negatively impacted by the pandemic. In the second quarter of ‘21, Bruker reported GAAP diluted earnings per share or EPS of $0.38. On a non-GAAP basis, second quarter 2021 diluted EPS were $0.44 compared to $0.21 in the second quarter of 2020. Gerald will cover the drivers for margins and EPS later on the call. But in summary, the strong revenue and volume growth in the quarter drove substantial year-over-year gross and operating margin expansion despite our increased R&D and marketing and sales investments in Project Accelerate 2.0. On Slide 5, we show Bruker’s performance for the first half of 2021. Our revenues increased by $277 million year-over-year or by 32.6% to $1.126 billion. On an organic basis, revenues grew 25.5% year-over-year, again, comprised of 26.7% organic growth in scientific instruments and a 14.3% organic increase at BEST, net of intercompany eliminations. First half 2021 order bookings for Bruker’s 3 scientific instruments groups grew more than 20% year-over-year organically and our BSI book-to-bill ratio for the first half of the year remained above 1.0. During the first half of the year, many of our businesses saw revenue and bookings growth even beyond what the pandemic recovery would imply as we experienced strong demand across our core academic and industrial businesses as well as in our Project Accelerate high-growth markets. Geographically, our first half 2021 order bookings were particularly strong in North America, China, and other Asia-Pacific markets outside of Japan. Our first half 2021 non-GAAP growth and operating margin and GAAP and non-GAAP EPS performance are all summarized on Slide 5, all stepped up significantly year-over-year as our business recovered and actually accelerated in the first half of 2021. Please turn to Slides 6 and 7 now, where I provide highlights on – where I provide highlights on the first half 2021 performance of our 3 scientific instruments groups and of our BEST segment, all on a constant currency and year-over-year basis. For the first half of 2021, the BioSpin Group revenue grew approximately 20% to $307.9 million, reflecting a recovery in customer demand and installation activities compared to the first half of 2020. BioSpin Systems revenue was up strongly year-over-year, including revenue recognition on 2 gigahertz class NMR systems in the first quarter of 2021. As expected, there were no gigahertz class systems in revenue in the second quarter of 2021. In mid-June, the U.S. National Science Foundation announced a $40 million award to establish a network of advanced NMR or NAN among 3 U.S. academic institutions, University of Connecticut School of Medicine, the University of Georgia, Complex Carbohydrate Research Center, and the University of Wisconsin, Madison’s national magnetic resonance facility. We are pleased to announce that as a result of this trend, a new recent order for a 1.1 gigahertz NMR system has been received from the University of Wisconsin in Madison. BioSpin’s aftermarket and software revenues also grew strongly grew year-over-year. In the first half of 2021, our CALID Group revenues increased more than 30% to $385.7 million with continued strong growth in our mass spectrometry and microbiology businesses and a rebound in our FTIR neuro infrared and Raman molecular spectroscopy product line. We continue to see very robust demand in revenue growth for our timsTOF unbiased 4D proteomics platform, while revenue for other life science mass spec products also grew year-over-year. Microbiology and molecular diagnostics revenue grew year-over-year, driven by healthy demand for our MALDI Biotyper instruments and consumables coupled with a partial recovery of Bruker tuberculosis diagnostic products. During the second quarter, our revenue from SARS-CoV-2 or COVID PCR testing was approximately $6 million. So, first half 2021 revenues of our infrared near infrared Raman molecular spectroscopy products were sharply higher year-over-year with solid execution, new product adoption and a strong global industrial applied and academic markets rebound. Please turn to Slide 7 now. First half 2021 Bruker Nano revenues grew in the high 20% to $329.7 million. Nano’s industrial and academic business had a solid rebound with industrial even outperforming our recovery expectations. Revenues for advanced X-ray, Nano Surfaces and Nano Analysis tools all grew substantially year-over-year. Nano’s microelectronics and semicon metrology tools continued to perform strongly with ongoing healthy demand. Finally, fluorescence microscopy revenue was up strongly year-over-year on strengthened academic demand. First half 2021 Nano revenue also included a contribution from our September 2020 Canopy Biosciences acquisition with Canopy single-cell targeted proteomics tools and services. Moving on to our BEST segment, BEST revenue in the first half 2021 grew in the mid-teens percentage net of intercompany eliminations, driven by contributions from big science projects. BEST revenue from superconductors for healthcare and MRI were below the prior year period. However, we see strengthened MRI demand for superconductors in the second half of 2021. Moving to Slide 8, we continue to make very good progress with our Project Accelerate initiatives and investments. At our recent Virtual Investor Day mid-June, we shared our strategies and goals for our potential breakout opportunities in unbiased 40 proteomics and in spatial biology and single-cell omics as well as in our rapidly growing microbiology and molecular diagnostics business. In early June, we introduced 2 new timsTOF platform systems: the timsTOF Pro 2 and the timsTOF SVP for single-cell proteomics. We anticipate these instruments will further drive our growth in the fast growing and exciting proteomics market. Today, however, for a change, I would like to highlight additional important timsTOF Pro 2 applications in the areas of 4D, 4-dimensional metabolomics and 4D-Lipidomics research. As you will see on Slide 8, we had some important new workflows and products and libraries that we launched in the second half of June after our Investor Day and there was a press release on that. Very importantly, we have a new ultra-high sensitivity source for high flow rates, the VIP-HESI source that you see here on the timsTOF Pro, which generally gives us about an order of magnitude sensitivity gain and further improves or enables new applications in small molecule metabolomics and lipidomics research. We were delighted with our collaboration with Scripps on the METLIN-4D large 4D-metabolomics CCS library now with CCS or collision cross-section data at scale with more than 10,000 reference small molecule data entries in this library, all now including this very new important parameter that we can measure at scale, the CCS or collision cross-section. Because our collision cross-sections on the timsTOF platform are so accurately measured, they can also be precisely predicted and we have new CCS predict software developed together with partners that use artificial intelligence and deep learning to make collision cross-sections from predictions available for even more small molecule workflows including those in exposomics and in drug metabolites. And finally, in metabolomics, we really have outstanding tools developed organically at Bruker, our MetaboScape and TASQ 2022 software tools and they are used in a variety of applications, for instance, for the reduction of false positive identification in 4D-Lipidomics, which is a very, very important aspect of how to do lipidomics. So great new developments, not only in proteomics, but also in 4D-Metabolomics and lipidomics. So finally, let me wrap things up here. On Slide 9, at our Investor Day, we also noted our continued investments in operational excellence, including investments in environmental sustainability. Here, we just briefly highlight the progress of our BioSpin Group in reducing its carbon-dioxide emissions, energy and liquid helium consumption. For its major new facilities or renovated expanded facilities in Germany and Switzerland, Bruker BioSpin has invested in solar energy in photovoltaic and other energy-efficient systems. Bruker BioSpin’s new campus in Germany has been built to the latest standard with substantially reduced carbon-dioxide emissions for its operations in Germany and Switzerland. We anticipate significant reductions and they are summarized here and much reduced CO2 emissions and lower overall energy consumption. We are also at BioSpin and at BEST investing significantly in helium re-electrification capacity in various locations. I won’t go into the details on numbers here, but if you look at this slide in some detail, if you are interested, these are sizable investments and they make a major difference towards environmental sustainability, something we expect of ourselves and something also our customers expect of Bruker. So in summary and to wrap things up, during the second quarter and first half of 2021, Bruker has delivered strongly improved performance with significant year-over-year revenue growth, margin expansion and EPS growth. Our core businesses have rebounded strongly and our higher growth Project Accelerate areas continue to deliver. We are making further investments in our Project Accelerate 2.0 and operational excellence initiatives, including stepped up investments in the second half of 2021. With that, Bruker is well on track for excellent financial and strategic progress in 2021 and we are raising our fiscal year 2021 outlook for revenue growth, non-GAAP operating margin expansion and non-GAAP EPS further, as Gerald will explain and as you can see in our press release. Now, with that, let me turn the call over to our CFO, Gerald Herman, who will review our financial performance and outlook in more detail. Gerald?
Gerald Herman: Thank you, Frank and thank you everyone for joining us. I am pleased to join you today and review Bruker’s second quarter and first half 2021 financial highlights, starting on Slide 11. Bruker’s revenue increased 34.4% to approximately $571 million in the second quarter of 2021, which includes an organic revenue increase of 27.2% year-over-year. We reported GAAP EPS of $0.38 per share compared to $0.16 in the second quarter of 2020. On a non-GAAP basis, second quarter 2021 EPS was $0.44 per share compared to $0.21 in the second quarter of 2020. Our second quarter 2021 non-GAAP operating income more than doubled from a weak comparison in the second quarter of 2020, which had been negatively impacted by the pandemic. Our second quarter 2021 non-GAAP operating margin expanded 580 basis points year-over-year to 17.3%, driven by strong revenue and volume. This was after absorbing additional investments in our Project Accelerate 2.0 and operational excellence programs and also included a negative impact from foreign exchange translation of approximately 70 basis points in the quarter. We finished the second quarter with cash, cash equivalents and short-term investments of $706 million. During the quarter, we used cash to fund strategic investments, stock purchases and dividends. In the second quarter of 2021, we repurchased approximately 556,000 shares of Bruker stock for a total of $38.3 million. In May, our Board approved a new 2-year share repurchase authorization of up to $500 million valid until May 2023. Year-to-date, share repurchases have totaled 1.1 million shares for approximately $71 million. We generated $21.9 million of operating cash flow in the second quarter, which was more than offset by our higher capital expenditures in the quarter, resulting in a $0.7 million in free cash outflow for the second quarter. Our working capital to revenue ratio improved from the full year 2020 due to higher revenue and efficiency gains in the second quarter of 2021. Slide 12 shows the revenue bridge for the second quarter of 2021. As noted earlier, organic revenue in the quarter increased 27.2%. We had a positive revenue contribution from acquisitions of 0.4% and a foreign currency tailwind of 6.8%. From a year-over-year organic revenue perspective, in the second quarter of 2021, BioSpin increased in the mid-teens. Nano grew in the low 30% range and CALID grew in the mid-30% range. BEST revenue increased in the low 20% range net of intercompany eliminations. Second quarter 2021 BSI systems revenue increased in the low 30% range organically, while aftermarket revenue grew in the high-teens organically compared to the second quarter of 2020. Geographically and on an organic basis, in the second quarter of 2021, our European revenue increased in the high-20% range. North American revenue grew over 50% off a weak prior year comparison and Asia-Pacific grew in the high single-digits year-over-year. Softer revenue performance in China and Japan was more than offset by strong revenue growth in other APAC regions. Rest of the world second quarter 2021 revenue was also higher year-over-year. Slide 13 shows our second quarter 2021 P&L performance on a non-GAAP basis. Second quarter 2021 non-GAAP gross margin of 50.0% increased 490 basis points from 45.1% in the second quarter of 2020 driven by higher revenue and volume leverage. Second quarter 2021 non-GAAP operating expenses increased 30.9% compared to the second quarter of 2020, reflecting more normalized expense levels after the temporary cost controls and reductions we had in place during the second quarter of 2020. Second quarter 2021 operating expenses also reflect a step up in our Project Accelerate 2.0 investments and a significant foreign exchange headwind. As previously communicated, over the course of 2021, we are increasing our investments in our Project Accelerate 2.0 initiatives and the pace of these investments is expected to step up further in the second half of 2021. Our Q2 2021 non-GAAP operating margin of 17.3% was 580 basis points above 11.5% in the second quarter of 2020. This resulted from significantly higher revenue, volume, and operating leverage in the second quarter of ‘21. For the second quarter of 2021, our non-GAAP effective tax rate was 26.7% compared to 22.6% in the second quarter of 2020, with the increase driven principally by jurisdictional mix and the impact of favorable discrete tax items in the second quarter of 2020. Weighted average diluted shares outstanding in the second quarter of 2021 were $152.9 million, a reduction of approximately 1.8 million shares or 1.2% from the second quarter of 2020, resulting from our share repurchase activity. Finally, second quarter 2021 non-GAAP EPS of $0.44 more than doubled from the $0.21 in the second quarter of 2020, driven primarily by higher revenue, gross and operating margins. Slide 14 shows the year-over-year revenue bridge for the first half of 2021. Revenue was up $277 million or 32.6%, including organic growth of 25.5%. Acquisitions added 0.6% to our top line, while foreign exchange was a 6.5% tailwind. And Frank has already covered the drivers for the first half of 2021 revenue. P&L results for the first half of 2021 are summarized on Slide 15. With the drivers largely similar to the second quarter of 2021 that are explained on the slide. Turning now to Slide 16, in the first half of 2021, we generated $72.6 million of free cash flow compared to a cash outflow of $4 million in the first half of 2020. First half 2021 free cash flow benefited from a higher net income partially offset by other items, principally the timing of customer deposits. Our cash conversion cycle at the end of the second quarter of 2021 was 239 days, a reduction of 42 days compared to the second quarter of 2020, reflecting the normalization of our working capital cycle. We continue to carry elevated inventory to better manage supply chain risks including those related to the semiconductor chips and other supply shortages as well as to meet accelerating demand across most of our businesses. Turning now to Slide 18, given our strong first half financial performance and improving outlook in our core business, we’re again raising our outlook for 2021 revenue growth non-GAAP operating margin expansion and non-GAAP EPS. For fiscal year 2021, we now expect organic revenue growth of 14% to 16%. We continue to project a foreign currency tailwind to revenue growth of approximately 3%. This is expected to lead to reported revenue growth for 2021 in the range of 17% to 19% compared to 2020. Non-GAAP operating margin for 2021 is expected to expand 270 to 310 basis points compared to 16% reported in 2020. Directionally, our guidance model assumes R&D investments at approximately 10% of revenue in 2021, but adjusted now for a lower foreign exchange headwind to our non-GAAP operating margin of approximately 30 basis points for the full year. On the bottom line, this adds up to non-GAAP EPS for 2021 in a range of $1.88 to $1.93, representing non-GAAP EPS growth of 39% to 43% compared to 2020. This also represents 20% plus growth from our $1.57 pre-pandemic non-GAAP EPS level in the full year of 2019. Other guidance assumptions are unchanged and are listed on the slide. Our updated full year 2021 ranges reflect foreign currency rates as of June 30, 2021. While we do not provide quarterly guidance, given the unusual dynamics of 2020 and 2021, I’d like to add some additional color for our expectations on the third quarter. Revenue, margin and earnings comparisons to 2020 become more normalized in the second half of the year compared to the first half. Given strong demand, we nonetheless anticipate Q3 2021 revenue to grow 10% to 12% on an organic basis compared to the third quarter of 2020. This range includes the likely revenue recognition for one additional ultra-high field NMR system. As I noted earlier, we also anticipate a further ramp-up in our Project Accelerate 2.0 strategic investments during the second half of 2021. To conclude, we delivered excellent financial year-over-year improvements in the second quarter. Robust demand and recovery in our core business, plus continuing strength in our Project Accelerate initiatives drove strong volume and pull-through to our operating margin and EPS in the second quarter. Our first half 2021 revenue performance exceeds the first half 2019 pre-pandemic revenues by approximately 13% organically. And we’re currently well positioned for excellent progress in 2021. And with that, I’d like to turn the call over to Miroslava to start the Q&A session. Thank you very much.
Miroslava Minkova: Thank you, Gerald. I would now like to turn the call back over to the operator to begin the Q&A portion. [Operator Instructions] Jamie, please go ahead.
Operator: [Operator Instructions] And our first question today comes from Puneet Souda from SVB Leerink. Please go ahead with your question.
Puneet Souda: Hi, Frank. Thanks for taking the question. So first one is really on the demand ever seeing – hi Frank, can you hear me now?
Frank Laukien: Yes, we can hear you, but fairly.
Puneet Souda: Hopefully, you can hear me now. And I’ll try to ask and if not else I’ll back into the queue.
Frank Laukien: We can hear you now.
Gerald Herman: It’s better, yes.
Puneet Souda: Excellent. Thank you. So just in terms of the overall demand that you’re seeing in the market right now, how much – how would you classify that as more of a pent-up demand? And really, the question is, as we go towards the fourth quarter, should we expect a normal sort of a fourth quarter cycle and in terms of the budget flush and the total overall, the instrumentation demand that we normally see in the fourth quarter, that would be great. And would that be sort of somewhat what we have seen prior to COVID is kind of what I’m trying to get to.
Frank Laukien: Yes. So Puneet, I think we’re seeing more than just the recovery. This is a pretty strong economy, pretty strong demand now also with the U.S. being very strong in terms of demand. Previously, Europe and China had picked up earlier, as you know. We are seeing great strength in industrial research and industrial QC business as sort of the core businesses that along with academia. Those had been a little bit more sluggish until recently, but now they are very strong in both bookings and revenue. And of course, our Project Accelerate 2.0 initiatives are all doing quite well, and some are doing exceptionally well. So it’s really a very strong picture right now. In terms of normalized, I mean, I would not – I mean, we’re obviously very pleased with our second quarter, but it’s a weaker comparison in the second half, the comparisons get more normalized or get stronger. I think I wouldn’t want to point to any given quarter this year as a normalized quarter. I think I would really average over the four quarters, and then – and that’s what we’re managing to set a new baseline rather than to do something that compares to last year’s rather distorted quarters in 2020. So I think we’re obviously making excellent progress. We’re doing much more than just recover. We’re really to pretty fast growth mode right now. And Yes, I hope that gives you the type of color that you are looking for. This is really one more point to one of your questions or elements of your question. This is much more than, in our opinion, much more than just pent-up demand or catch up. This is really quite healthy.
Puneet Souda: Got it. That’s very helpful. And then on timsTOF obviously, a strong installed base 4 years into the launch. You’re obviously launching new applications into proteomics and new products as well. So as you look at that trajectory, what can you provide us in terms of the overall – given the current the status of the installed base, the growth rate sort of you’re expecting at this sort of point in time? And again, second question, I would say is on the strategy for the LC side as you see more installed base growing out there, do you expect to see more attach rates for maybe Bruker LCs or other Bruker accessories into timsTOF?
Frank Laukien: Right. So the timsTOF platform, which now has multiple types of systems, right? The flex with the all the additional imaging capability, the SCP for single-cell proteomics brand new, of course, the flex was launched previously and then the bread and butter system, right, for proteomics, but also with the new source and the new capabilities also for 4D-metabolomics as I explained. Overall, it’s just really a very good, very healthy, good picture of strength and in the first half as long as – as well as in the second quarter, both bookings and revenue growth in that platform had been very strong and stronger than the corporate average growth, which isn’t bad. So we’re very pleased with that. So we’re in a growing – we’re doing well in a growing market. I think the proteomics markets are doing well, and we’re doing particularly well within proteomics. Our LC attached is a bit of a specialized question, but our LC attachment rate is not bad. A lot of customers are – we’re not pushing them but we’re – our standard offering is a Bruker Nano LC. It’s a very, very good Nano LC. We’re not saying it is much better than any other, but it as good as any, I would say, out there, and it’s well recognized for excellent stability and separation and all the usual attributes. So our LC attach rate is reasonably high, and I think it’s well above 50%, although I don’t have an exact number for our timsTOF series for proteomics. But we also work well with other either larger LC suppliers, you know who they are or specialists that particularly focus on proteomics. So I don’t anticipate a significant change there because that’s been pretty good for us all along. More people are getting our software. Of course, they are using everybody uses multiple bioinformatics packages for proteomics, but they are increasingly are also very, very interested in our very fast GPU-driven run and done proteomics, pacer software, even if they then use complementary other packages by other vendors who we collaborate with. So it’s – I think that’s – we’re picking up some proteomics revenue beyond just the mass spec, if that’s what you’re referring to, obviously. And that’s going as expected. It’s going well.
Puneet Souda: Great. And just last one, if I could squeeze in. In terms of the ultra frequency gigahertz NMR, could you just clarify the expectations again for this year? And given the multiple sort of larger grants, what’s your outlook here in terms of expansion of the number of installed base, I think you had guided to three to five installs for the year. Is that changing and how should we look at 2022, appreciate it. Thank you.
Frank Laukien: Yes. For this year, we’re most likely going to look at four now is my best estimate with some both some factory and but also some customer citing delay. So four this year, we had two in Q1, none in Q2 as expected. As Gerald just said, we’re expecting one in Q3. And yes, if you do the math, therefore, probably one more in Q4 although right now, we gave color on Q3. So that’s the plan for this year. We’re delighted with the additional NSF funding on orders, right? Those won’t go into revenue, not next year, more like ‘23, ‘24, we will need to see exactly how that plays itself out. We’ve ramped up our capacity to build and test more in Switzerland. We’re not giving 2022 guidance, but I mean, our order books certainly are full and so that, that all bodes very well. Maybe very importantly, other than just instruments and more orders and more funding that’s good. The U.S. needs a lot more funding. I’m glad with this NSF-funded icebreaker, so to speak, with the two systems that the two additional systems, one of which we received an order, the other one so far simply has funding. The U.S. will probably want to do a lot more to be on par with Europe. And then of course, also, I think there will be a lot of interest over time developing in Asia Pacific where so far, there is only one system on order for Korea. So other applications are coming along very nicely. And even some of the structure prediction by Google Alpha fold and so on could actually be a boost to NMR demand because we don’t do the structures. We love to start in NMR. Our customers like to start with a structure, whether that comes from X-ray or cryo OEM or from prediction, if it’s reasonably good and then they do the dynamics and look at the binding and look at the changes and functional interaction. So Actually, there is a lot of good drivers that I think will make NMR functional structural biology even more important, both technical as long – as well as what’s happening around us outside of Bruker. We think there is a lot of good scientific drivers.
Puneet Souda: That’s great. Thanks for the details, Frank.
Frank Laukien: Yes.
Operator: Our next question comes from Derik De Bruin from Bank of America. Please go ahead with your question.
Derik De Bruin: Hi. Good afternoon and congratulations on a strong quarter.
Frank Laukien: Thank you.
Derik De Bruin: Just two quick questions. Frank did – could you clarify did I heard you correctly than greater than 20% order growth in the first half. What was it exiting 2Q, if you don’t mind?
Frank Laukien: I may need some help here with greater than 20% organic growth rate in BSI in the first half, right? And I know that our BSI book-to-bill was about 1.1% in the second quarter. So that is the number that I have at my fingertips, so pretty healthy.
Derik De Bruin: Great. Thanks you. Thanks for the clarification on that. And can you talk a little bit about the semiconductor markets and supply chain issues? I think some of the other companies have talked about transportation costs going up and shipping costs going up. Can you talk a little bit of what you’re seeing in the supply chain? And also just what you’re sort of looking at in terms of the semiconductor markets and obviously, how that impacts the – and what you’re seeing your course of global supply chain there as well? Thank you.
Frank Laukien: Yes. Yes, for us, this has two sides, right? The one we’re like everyone else, we’re working really, really hard, and it’s a struggle to deal with supply chain issues and costs right from transportation issues to even mundane things with pellets and things like that too, of course, electronic components and semiconductor chips. There is – it’s – we’re working it so far and – but it is far from trivial. So I mean, I think there are real risks. I think we – that’s why our guidance, I think, is very reasonable. But we also still think that some of these things, in some cases, I don’t think they’ll be rails, but they could slow us down here or there. On the other hand, of course, we have a large semiconductor metrology business that’s doing extremely well and then investments in semiconductor metrology in packaging are all really very good for our Bruker Nano business. And – so by the way, I was just past the note that our BSI orders in the second quarter were – our organic growth for that was around 30%. So again, very, very strong. And yes, book-to-bill was – book-to-bill for BSI orders was 1.1%. So, all very good metrics. By the way, for us, I mean, it’s some – this year, we have outstanding growth and recovery, at least we think so. And if there – if some things get delayed a little bit from Q4 into next year, we’re really – that’s fine with us. We think that sets up and maybe a more normalized set of comparisons for next year, whereas this year, the growth rates in any given quarter always so much depend on the prior year’s quarter and the prior year, as we know, was unusual. So this is actually – we’re not losing – we’re having excellent orders, excellent backlog. And if some things were to get delayed a little bit, we’re fine with that. That’s of a more even trajectory.
Derik De Bruin: Thank you very much.
Frank Laukien: Yes.
Operator: Our next question comes from Tycho Peterson from JPMorgan. Please go ahead with your question.
Tycho Peterson: Hey, Frank. I am just wondering, looking across the four divisions, if you could just give us a little bit of color about how you’re thinking heads of all, which the segments maybe inflecting. I know you just touched on the semiconductor piece for Nano, but can you maybe just give us a walk through between Nano, CALID, and BEST, how you are thinking about the back half of the year?
Frank Laukien: Yes. I can. Sure, Tycho. So CALID is just doing really well. And even in the second half, it will have a little headwind because second half of last year had more PCR testing for COVID, and that’s obviously come down sequentially. And so you’ll have a little bit of a headwind, but between proteomics and MALDI Biotyper and Metabolomics and also the strength in the applied market that we see in our molecular spectroscopy business. CALID’s been continues to have great momentum. Nano, particularly strong compared to last year, of course, with its industrial recovery and its continued strength in semi. And it’s emerging and beginning to move the needle in very nice growth in fluorescence microscopy from light sheet imaging to multiphoton to super resolution imaging. So that part is now growing. So BNANO is sort of a little bit the star this year. BBIO had an okay second quarter, but we think it will have a very strong third quarter. So BBIO will do well as well although a little bit more better in Q3 than in Q2. And BEST is another surprise this year, because early in the year, we didn’t really expect the MRI OEM demand from our OEM customers, large MRI companies to be as strong, and that’s just been strengthening and strengthening. So BEST is actually, as you’ve already seen, Q2 was pretty good growth for BEST and then in the second half of the year, BEST will actually be right up there in terms of good growth. So not a lot of weak spots and maybe just the occasional quarterly one weaker quarter followed by, again, a strong quarter in BBIO. But over the year that BBIO is doing great and CALID is doing. CALID and Nano are doing the best this year.
Tycho Peterson: Okay. That’s helpful. And then two for Gerald quickly, I am wondering if you can quantify any contribution from the COVID PCR assay in the quarter. And then cash flow. I’m wondering if you could maybe provide some updated thoughts on cash flow in the back half of the year as revenues pick up. We’ve had questions just lot a lot on the cash flow.
Gerald Herman: Yes. So in terms of the COVID PCR revenue levels, pretty – I guess, I’d say fairly modest $6 million in the second quarter. So not a – I guess, not outstanding on many levels, but not really quite a drop off as some – as we had predicted in other cases. So that’s pretty stable, I guess, I’d say at this point. Relative to your question regarding cash flow, we – I mean we did generate some fairly solid operating cash flow in the quarter, in the second quarter, specifically. We’re starting to see some change in volume of customer deposits, the level and the timing of it. Obviously really impacts our cash flow on an ongoing basis, and that’s been the case as clearly the case on our second quarter. The way this typically works is as we finalize orders we begin to get fairly significant customer deposits in place. And we are hopeful that, that’s going to continue as we start to see this demand continues to move. In the second quarter, we had a little bit of movement between tax payments between quarters. So, that negatively impacted our cash flow for the second quarter. But overall, we are very optimistic about if these levels of net income, we are very optimistic in the long-term.
Frank Laukien: And cash flow just varies highly from quarter-to-quarter. Cash flow is really best looked at over average over several quarters. And our first half cash flow was about $73 million.
Gerald Herman: $73 million roughly, yes.
Frank Laukien: So much, much, much higher than last year.
Tycho Peterson: Okay. Thank you.
Gerald Herman: You’re welcome.
Operator: Our next question comes from Dan Leonard from Wells Fargo. Please go ahead with your question.
Dan Leonard: Hi. Thanks for the time. So, a question on the guidance raise, I was hoping perhaps you could frame the new growth outlook compared to 2019. I understand the growth deceleration you are looking for in 2H versus 2020 given the comp. But I am not sure I understand what’s driving the deceleration in the 2-year stack compared to 2019 versus what you just reported in the first half?
Frank Laukien: Yes. So, we think we are just really looking for the full year growth and the full year growth also compared to 2019 is actually quite strong as well. Of course, our guidance is relative to last year with the – at the midpoint, 15% organic growth, raised guidance that you have now heard. And the rest is pretty much just math, quite honestly. I mean, this year, the growth rates will be much higher in the first half of the year due to comparisons and then they will be mathematically lower in the second half. I think for the year, we will still have excellent growth year-over-year and also very solid growth compared to 2019, but 2020 didn’t just not happen, right. There was actually a year 2020 with a pandemic. So, it’s not that we can simply do a spreadsheet exercises as if it did.
Dan Leonard: I would like to pretend it didn’t happen. Maybe…
Frank Laukien: Can be all like that, yes.
Dan Leonard: Frank, as a follow-up, is there any way to frame the Metabolomics and Lipidomics applications you highlighted for timsTOF or are these maybe secondary and tertiary applications compared to proteomics or could they be equivalently important to proteomics on the timsTOF?
Frank Laukien: Yes, very good question. So Lipidomics, Metabolomics, they are slightly – they are different, but they are usually bunched together when people look at these markets. That’s how we look at them. And it is smaller than the proteomics opportunity for sure. But initially or maybe a couple of years ago, we perhaps also expected that proteomics would dominate and it will be the larger of the omics fields for us, for sure, by quite a bit. But it turns out that this 4D-Metabolomics and 4D-Lipidomics, let’s take these two together with some of the new 4D capabilities that are unique to our timsTOF platform, and then 10x more sensitive source. And these libraries and predict capabilities actually start to make a bigger difference in those markets in terms of unique capabilities and unique working flows. And we are now getting – without even having tried as much, we are now getting quite a bit of pull from those markets in addition. Just I don’t have really a good number for you, but maybe it’s like 2:1 or 3:1 proteomics compared to Metabolomics, Lipidomics. So, it’s not negligible, but it is certainly smaller and proteomics is the bigger opportunity. But that gives you a very rough sizing.
Dan Leonard: Okay, I appreciate that perspective. Thank you.
Operator: Our next question comes from Jack Meehan from Nephron Research. Please go ahead with your question.
Jack Meehan: Yes. Thank you and good afternoon. Wanted to try Dan’s first question, maybe a second way, as I look at the back half of the year, your guidance seems to imply somewhere around 2% to 3% compounded growth versus 2019, and that compares to, on an organic basis, and that compares to around 6% in the first half of the year. So, I was curious what are some things that might be weighing on it? And for Gerald, the 3Q revenue guidance you talked about, is there any comment you can give around phasing on EPS, how that goes through the income statement?
Frank Laukien: Yes. I mean, I will take the first part and then turn things over to. So Jack, I haven’t checked all your percentages, but directionally, I am sure they are correct. Yes. That we are very comfortable the way we are managing the year in terms of growth and financial progress and organic growth. And we are not managing to the third quarter or to the fourth quarter. We are managing to the year, and we think we will establish a very healthy pattern with excellent growth for the year. And that’s our story, and we are sticking to that. And you can absolutely do calculations on 2-year growth on any given quarter. Those are probably correct. And that’s – we are totally fine with that. I think we are making excellent progress and expect to establish a 2021 pattern that is rational and a good basis for comparison in the future. So hopefully, next year, I will be less defensive of the future or whatever I am when it comes to discussing prior year comparisons because they will be – they will make sense to us. You want to take the second part?
Gerald Herman: Relative to your comments on where we see the third quarter, what I can tell you is that we put up a very solid operating margin performance in the second quarter with 17.3%. Our expectation with a higher level of organic revenue growth is that we will continue to see some improvement there. We are, however, investing more heavily. And I have mentioned in my prepared remarks, in the in our Project Accelerate 2.0 investments in the second half. So, despite some improvements from a revenue perspective, we are intending to continue to strengthen our investments in the strategic investments. So, I am not going to – I don’t really want to give you EPS guidance or any other color specifically on a particular quarter. We will talk about that at the full year level. But fundamentally, directionally, we are spending a little more in important strategic areas in the third quarter and the fourth quarter.
Frank Laukien: Look, I mean, we are growing around 40% in terms of non-GAAP EPS, we are very satisfied with that. That gives us the opportunity. We have always said we will – we are committed to margin expansion into EPS growth. And if we can do more, we will invest it in the business, and that’s exactly what we are doing. We are not trying to maximize this year. We are trying to invest in our future and deliver excellent improvements this year.
Jack Meehan: Yes, great. One other thing I was curious to get more color on was the results in the U.S. this quarter. Obviously, the year-over-year benefited from the prior year comp, but it was the strong quarter I think the step-up sequentially was even bigger than going back to 2019 or 2018. Just any color on what you are seeing here in the U.S. that might have been driving the strength would be helpful?
Frank Laukien: Yes. U.S. biopharma is strong, actually also Sepsityper and MALDI Biotyper are strong semiconductor. Yes, it’s also pretty broad-based, but biopharma and MALDI Biotyper comes to mind, which biopharma was strong last year, getting even stronger, whereas MALDI Biotyper was really weak last year. And in the U.S., we didn’t have any PCR COVID testing revenue. So, I – so, those things contribute to that. But overall, they are – they are not insignificant, but the U.S. economy, academic, industrial, semiconductor, biopharma, applied diagnostics, microbiology diagnostics. We don’t do PCR in the U.S. are just all remarkably strong.
Jack Meehan: Thanks Frank.
Operator: Our next question comes from Doug Schenkel from Cowen. Please go ahead with your question.
Doug Schenkel: Hey, good afternoon. Thank you for taking my questions. I have one guidance question and then kind of, I guess, one higher-level outlook question for the longer term. So, the first on guidance and this has been touched on a little bit already. But I guess maybe taking a different angle on this. Recognizing the comparisons get tougher in the second half, I think it’s clear you sound great when it comes to bookings and higher level trends. With that in mind, though, when you look at the quarterly pacing guidance assumes that growth moderates at the midpoint. I think you guys said 11%. I think it’s 10% to 12% in Q3. And if I am doing the quick math, right, that implies around 4% growth in Q4. Again, I get the comps, but is there another component of this just a function of the – you have a lot of visibility on Q3. And then when you look ahead to Q4, recognizing the business is going well, but the world is still uncertain. This is just kind of a prudent way to guide the Street. So, that’s the first question, essentially just kind of what’s behind the thinking on pacing? And then the second question just kind of goes back to your recent capital markets analyst event, where you highlighted a lot of exciting existing and pending efforts in emerging proteomics. I am just wondering if you could talk about how those – especially the pending efforts are impacting revenues and I am guessing it’s too early to impact revenue and bookings, but I am assuming that is something that’s factoring into how you are thinking about end of the year into 2022. If you could talk about that a little bit, I think that would be of interest as well. Thank you.
Frank Laukien: So, on the – I am going to be combative today, but I just have to be – we are reporting Q2 today, not Q4. In Q2, we over-performed consensus very significantly, was by about $30 million or something like that. So sure, criticize us that well, but that makes Q4 looked less important than all of that. But first of all, we were greatly outperforming and over-delivering. And we are setting up for a good Q3. So yes, that’s – those are the facts. The rest is just guided and future quarters. So, we are very pleased with our performance that we are delivering and that our – certainly, the buy side really appreciates. The – there is – the rest would be repetitive. We are managing to the year. We are having great performance improvements this year, and we are very happy with our over-performance first in Q1 and then in Q2. I think it’s better to have upfront over-performance to de-risk the year than to – I suppose if I missed the first two quarters, maybe you would be happy with my Q4, because they are not – that it gets a lot more risky. So, I don’t quite honestly, I know where you are coming from, but I get it and I don’t get it. So anyway, frankly, that we are driving the year with over-performance upfront and de-risking the year. And I think that’s the way to do it.
Doug Schenkel: Yes, Frank, I think your – I think maybe you are taking this the wrong way to be, I guess, equally direct. I think it’s really more – it’s a good – you did a good job in the first half, which I think I agreed with and I think most on the call have Secondly, I think we look at Q3, and that’s a good guide. Q4 is a little bit lower. I think we are just – I am not saying that’s not good. I am saying, “Hey, is it just kind of let’s be conservative because we are doing real well and the bias is to the upside there.” So, I actually would kind of redirect you to think about it a little differently.
Frank Laukien: Okay, thank you. Your second higher-level question was on the outlook on proteomics. And sorry, can you remind me of – what was the question on?
Doug Schenkel: Yes, I am just wondering, that obviously generated a lot of excitement. And I think starting to get Bruker or a little more attention in terms of what you are capable of with the pipeline. And you guys have been doing great with your new products. I think this brought a little more attention to it on Wall Street. I am just wondering as you think about it with customers – was that already resonating or are there similar efforts where you are starting to get more credit as we think about the outlook for 2022 and 2023 with some of these pipeline initiatives?
Frank Laukien: I think the customers we have had we have got – we have received – and for some time now for the last 3 years, 3.5 years, ever since we really launched other proteomics timsTOF Pro platform and then the successor and additional more differentiated products. I think the customer and scientific recognition is excellent, and they are obviously looking at products that are technologies that are available today. There isn’t much confusion among customers. And I think the story is more complex about investors, because there are so many new proteomics companies, a new proteomics stories. And sometimes we are included in proteomics exciting stories because that’s factual. And sometimes, I don’t know, sometimes people kind of look at the two leading proteomics companies out there and don’t even mention them among proteomics companies, which the customers don’t have that issue. So, I think it has helped on the Wall Street side, as you pointed out. And I think among the customers, we just don’t have that issue. You go to proteomic conferences and you go to mass spec conferences with proteomics interest, and they are the recognition for the timsTOF 4D-proteomics platform is really excellent. And it’s just getting stronger because there are so many satisfied customers and many of them are now getting second and third and some getting fifth and seventh instruments and whatnot. So, there is a – there is quite a difference between the investment community and the scientific community and customers in the latter among the scientific community customers, academics as well as biopharma companies the team started extremely well recognized as something that’s really, in some ways, game changing and certainly have some extreme advanced and complementary capabilities that you can’t get any other way.
Doug Schenkel: Got it. Okay. Thanks.
Operator: Our next question comes from Brandon Couillard from Jefferies. Please go ahead with your question.
Brandon Couillard: Hi, thanks. Good afternoon. Frank, you alluded to some softness in China and Japan in the second quarter. Can you just elaborate a little bit more on what you are seeing in China and maybe what you are looking beds for that market for the year?
Frank Laukien: Yes. Brandon, Japan has been weak this year and continues to be weak. So, that’s a pretty short answer, but I think it’s pretty much the answer. In China, actually, it’s much more differentiated. I think for the whole year, China will be strong. But yes, it was a little weaker in revenue in Q2 as although order bookings in Q2 in China were very, very good for BSI and it’s almost all BSI there. So, we think that’s going to even out over the quarters. But China, we expect to be strong this year. Remember that the China comparison is a little tougher already in Q2 also maybe an additional point because China began to recover already in Q2 of 2020, much, much earlier than others. And yes, we will have – we had a little bit of a discrepancy between China revenue and some paperwork that’s associated with…
Gerald Herman: It’s the tax exemption certificates for certain academic customers.
Frank Laukien: So, China will be okay for the year and will be a strong growth contributor, but not as much in Q2. So, you are right. Japan is just weaker this year and maybe after the Olympics will have additional priorities. But right now, the spending in Japan has been strong. Probably if you single out any one single economy in the world that’s not – at least for us, isn’t booming yet that would be Japan.
Brandon Couillard: Got it. Thank you.
Operator: Our next question comes from Josh Waldman from Cleveland Research. Please go ahead with your question.
Josh Waldman: Hi guys. Thanks for taking me in. Just a follow-up on China, I believe at the Bruker’s Analyst Day, I think on the Q&A, you alluded to some changes that are underway in China. Is there anything to further unpack there? Is that the – is that the tax exemptions you just mentioned or is it something else?
Gerald Herman: Yes. Hi Josh, it’s Gerald. So, what’s actually happening is that we have got very strong order bookings performance in China across our BSI groups. It’s just a bit of a delay in actually getting those tax exemption certificates, which is coming through the Chinese authorities. They recalibrated or renewed their exemption activities in Q2, and that’s just created some delays. So, it’s more push-out activity than anything else at this stage.
Josh Waldman: Got it. So no orders dropping out of the book more…
Gerald Herman: No, no. As I have said before, we have a very robust order bookings performance across all the groups in China.
Josh Waldman: Got it. And then to the earlier comment on potential benefits from any unforeseen shipments or shipment delays later in the year, I guess what is your ability or appetite trying to manage growth by, I guess, purposely delaying shipments out of 2021? I mean it seems like based on order trends, the concern maybe is less on your ability to hit the guide and maybe more on your ability to kind of even out revenue growth from 2021 to 2022. Any comments on your ability or willingness?
Frank Laukien: Good question. We are certainly capturing all the revenue we can. And I mean there is a little bit of conservatism built in as well, right. I mean there is – there are contradictory statements of how severe delta is. And is there an objective, is there the scientific conclusion or are there different arguments that 1 year, you see it, it’s pretty diverse. And then how will different countries react to it, countries that don’t have high vaccination rates, obviously are extremely vulnerable, including hospitalizations and death rates. You see that, and you saw that in India, you now see that in Southeast Asia, right. Countries that with high vaccination rates are high, whatever, perhaps something along herd immunity, which UK and others come to mind, it’s just not clear what will happen in Q4. There probably will be another wave, but will it be a wave of just infections or hospitalizations, and that, of course, makes a big difference. We don’t – we can’t settle that debate. So, we are being somewhat cautious there also other supply disruptions that could slow us down. So far, we have managed really well, but it is much, much more work for our supply and logistics and production teams than ever before. And I mean, with that, we want to make – we built in a little bit of conservatism, but not excessive either. And we will see how that plays itself out. But there are some risks still for the remainder of the year that hopefully we have adequately reflected in our guidance.
Josh Waldman: Thanks Frank.
Operator: And ladies and gentlemen, with that, we will be ending today’s question-and-answer session. I would like to turn the floor back over to Miroslava Minkova for closing remarks.
Miroslava Minkova: Thank you for joining us today. During the third quarter, Bruker will participate in the 2021 Wells Fargo Virtual Healthcare Conference. We look forward to meeting you at an event during the quarter or directly with you during the quarter. Thank you, and have a nice evening.
Operator: Ladies and gentlemen, with that, we will conclude today’s conference call. We do thank you for attending. You may now disconnect your lines.